Operator: Good day, ladies and gentlemen. Welcome to the Alamo Group Fourth Quarter and Year End 2014 Earnings Results Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. [Operator Instructions] This conference is being recorded today, March 5, 2015. I will now turn the conference over to Mr. Bob George, Vice President of Alamo Group. Please go ahead, Mr. George.
Bob George: Thank you. And by now you should have all received a copy of the press release. However, if anyone is missing a copy and would like to receive one, please contact us at (212) 827-3746 and we will send you a release to make sure you are on the company’s distribution list. There will be a replay of the call, which will begin one hour after the call and run for one week. The replay can be accessed by dialing 1 (888) 203-1112 with the passcode 5181685#. Additionally, the call is being webcast on the company’s website at www.alamo-group.com and a replay will be available for 60 days. On the line with me today are Ronald Robinson, Chief Executive Officer and President; Dan Malone, Executive Vice President and Chief Financial Officer; and Richard Wehrle, Vice President and Corporate Controller. Management will make some opening remarks and then will open up the line to your questions. Before turning the call over to Ron, I’d like to make a few comments about forward-looking statements. We will be making forward-looking statements today that are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause the company’s actual results in future periods to differ materially from forecasted results, among those factors which could cause actual results to differ materially are the following; market demand, competition, weather, seasonality, currency-related issues, and other risk factors listed from time to time in the company’s SEC reports. The company does not undertake any obligation to update the information contained herein, which speaks only as of this date. I would now like to introduce Ron. Ron, please go ahead.
Ronald Robinson: Thank you, Bob, and we want to thank all of you for joining us today. Dan Malone, our CFO, will begin our call with a review of our financial results for the fourth quarter and fiscal year 2014. And then I will then provide some comments on the performance of our operations. And following the formal remarks, we will look forward to taking your questions So, Dan, please go ahead.
Dan Malone: Thank you, Ron. As I’m sure you’ve read by now, Alamo Group’s fourth quarter and 2014 net sales and net income were both company records. Before we get into some of the details of these record results, I would like to remind you, just as I’ve done in our prior quarterly calls, that our 2014 results were impacted by the operating results of recently acquired companies, as well as certain non-routine expenses, such as acquisition-related transaction cost and age-based accelerations of stock option vesting, both of which, we noted for the first time in our second quarter 2014 results, as well as non-cash charges related to our sales of the acquired specialized inventories, which were subject to step up to fair value in the initial purchase price allocation. I believe that it’s also worth noting that in the fourth quarter, we supported a follow-on offering which facilitated the orderly exit of a major shareholder. As a result of this effort, Alamo Group has seen both, increased research coverage and market float. Also a related stock repurchase from the same major shareholder completed on September 25, 2014, added about $0.07 to our fourth quarter earnings per share. Fourth quarter 2014 net sales of $223.9 million, represent a 34% increase over the fourth quarter 2013. Excluding acquisitions, fourth quarter 2014 net sales were $173.5 million, an increase of 4% over the prior-year quarter. Net income for the fourth quarter was a record $11.4 million or $1.00 per diluted share, compared to $6 million or $0.49 per diluted share in the fourth quarter of 2013. Excluding the non-routine expenses previously mentioned, net income for the quarter would have been $12.4 million, a $1.09 per diluted share. Full-year 2014 net sales of $839.1 million represent a 23% increase over prior-year. Excluding acquisitions, full-year 2014 net sales were $718.5 million, an increase of 5% over 2013. Full-year net income for 2014 was $41.2 million or $3.42 per diluted share, compared to $36.1 million or $2.96 per diluted share for 2013. Excluding the effect of the previously mentioned non-routine expenses, full-year 2014 net income would have been $44.8 million or $3.72 per diluted share. The operating results of our recent acquisitions net of related interest expense and income taxes contributed $2.7 million to fourth quarter 2014 net income or $0.24 per diluted share. The total contribution of 2014 acquisitions to 2014 net income was $4.3 million or $0.36 per diluted share. In Alamo’s Industrial division, fourth quarter sales of $126.5 million, represent a 62% increase compared to the prior-year fourth quarter, and full-year sales of $436 million, represent 46% increase over 2013. Excluding acquisitions, fourth quarter Industrial division sales were $80.2 million, an increase of 3% over the fourth quarter of 2013, and full-year sales of $328.6 million, 10% higher than the prior-year. Agriculture division 2014 sales were $51 million in the fourth quarter, an increase of 6% over the prior-year quarter, while full-year 2014 sales for this division were $203 million, down 4% from 2013. Excluding acquisitions, 2014 fourth quarter sales in this division were $49.4 million, an increase of 4% over the prior-year quarter, while full-year 2014 sales for this division were $209.4 million, down 4% from the prior-year. European division fourth quarter sales were $46.4 million, an improvement of 14% over the prior-year fourth quarter, and their full-year sales of $188.7 million, also represents a 14% increase over the 2013 results. Excluding acquisitions, fourth quarter sales in this division were $44 million, an increase of 8% over the fourth quarter of 2013, and their full-year sales were $180.5 million, a 9% increase over prior-year. During the fourth quarter, the company’s gross margin of $48.4 million, exceeded prior-year gross margin of $36.4 million, primarily due to the contributions of recently acquired companies. Gross margin as a percentage of net sales was 21.6% in the fourth quarter of 2014, compared to 21.8% in the prior-year fourth quarter. Excluding the previously mentioned non-cash charges related to the step-up and acquired inventory values, gross margin as a percent of net sales was 22.4% in the fourth quarter of 2014. Improved performance in our European division and the higher gross margin percentages of the recently acquired company are more than offsetting an unfavorable wholegoods product mix in the Agricultural division, as well as an unfavorable overall product mix effect caused by wholegoods sales growth, that was significantly outpacing the growth of higher margin spare and wear parts sales. In the fourth quarter, operating expenses increased approximately $4.4 million over the prior-year quarter, due to the operating expenses incurred by the recently acquired companies. Fourth quarter 2014 operating expenses, as a percent of net sales, decreased to 14.6% from 16.9% in the prior-year quarter. Our average fourth quarter 2014 effective income tax rate of 25.6% compares favorably to the 27.8% effective tax rate for the fourth quarter of 2013, primarily due to the cumulative current year adjustment to reflect late Congressional approval of a bill that extended the availability of research and development tax credits through the end of 2014. The company continues to generate strong cash flow. Full-year 2014 free cash flow, which we define as net cash generated by operating activities less the net cash used for property, plant and equipment additions and provided by retirements was $21.8 million, an increase of 18% compared to 2013. After adjusting for the after-tax effect of previously mentioned non-routine transaction expenses, our adjusted 2014 free cash flow totaled $23.6 million, an increase of 28% over prior-year. Before I close, I would like to make a couple of comments about the effect of foreign exchange rate changes, particularly in light of recent devaluations of European currencies vis-à-vis the U.S. dollar. The effect of average 2014 currency exchange rate changes on our full-year net income was not material, though we saw large translation adjustments to shareholders’ equity in the year ending balance sheet. Because the cost of our business units are predominantly in the same currency as their revenue streams, our exposure to recent shifts in foreign exchange rates resides primarily in the translation of our local currency results into U.S. dollars. We began to feel some headwind there in the fourth quarter of 2014, and the strong U.S. dollar is expected to continue to impact our results well into 2015. In closing, our record 2014 sales and earnings results reflected highly accretive sales and earnings contributions from our most recent acquisitions, and higher EPS, due to the stock repurchase, as well as significantly improved results from our European division and continued organic growth in our Industrial division, both of which, more than offset the negative impact of weak market conditions on our Agricultural division results. I’d now like to turn the call back over to Ron.
Ronald Robinson: Thank you, Dan. As Dan pointed out, I think it was a good quarter and a good year for Alamo Group in 2014. I think in particular from our point of view, the third and fourth quarters, I think showed the positive effects of the acquisitions for the year, especially the Specialized units, as the second quarter, when that was completed was a partial quarter and has the expenses in it, but I think the third and fourth quarter showed more of the ongoing benefits of that acquisition. And because that was in our Industrial division and our North American Industrial division continues to lead the way for Alamo, not only did it benefit from the acquisition of the Specialized units, it also showed good internal growth as it has for the last several years. And we think this division will continue to show progress in 2015, plus it will benefit from the full-year effect of the Specialized acquisition, and particularly, as we get Specialized more integrated into Alamo as we move ahead. Our North American Agricultural division is certainly still feeling the effects of the slowdown in the overall agricultural sector, but we believe we’re holding up just a little bit better than many other manufacturing companies in this area because of the wide range of uses for our implements, particularly in areas that are not as challenged by lower crop prices, such as cattle ranchers and hobby farmers. Plus we feel our dealer inventories in the Ag sector are in reasonable shape without a big overhang that could affect - have a negative effect on our sales in coming years. But we certainly still expect Ag to stay soft in 2015. It was nice to see that our European division showed some improvement in 2014, even though we still lagged the results we achieved prior to this downturn, but it was good to see us moving in a positive direction, particularly since the European overall economy is still in a bit of a doldrums, and we think we will show further progress in 2015, but we are little concerned in how that would translate into U.S. dollars. We’re going to have to see what the full effect of the strong U.S. dollar is going to have on all of our international earnings throughout the year, because that will affect our - we deal in the pound, the euro, the Canadian dollar, the Australian dollar. And so, I think it’s going to be a little bit of wait and see and see how that’s going to affect us throughout 2015. As I said, it was a good year, but it was also a very busy year in addition to the nice internal growth we achieved, of course there was - we did our biggest acquisition ever in May of the year. We also did a stock buyback in September of this year, in which we bought 7% then retired 7% of our outstanding shares. And then in November of the year, we completed a major share offering on behalf of a major shareholder and while the company certainly didn’t get to keep any of the proceeds from the offering, we do believe this has helped raise the profile of Alamo and increase both, research coverage in our slot and float. So as a result, the accomplishments in 2014, we feel good about our prospects for the current year, but we’re concerned about some of the headwinds, which I mentioned earlier, certainly the soft Ag market, the weak European economy and the strong dollar among other things. And we particularly noted that we have seen some softness in the start to 2015. We actually also saw weakness in the start to 2014 as well, and while that rebounded nicely, but like I said, 2015 has shown some softness in the start. I think it’s been further affected by the severe winter weather conditions that have certainly affected the large areas of the country both, Northeast, Southeast and another parts of the country. Of course for us, too much snow is not necessarily a bad thing, since we have a big position in some snow removal products. But I think overall, as I said, we’ve seen a little bit of softness in the start to the first quarter. So in total, I mean, I think we have some concerns and we always have some concerns, but we feel we’re in good position to have another good year in 2015. And with that, I’d like to finish the formal comments and open it up to questions, if there are any. Operator, would you please go ahead and see if there are any questions?
Operator: Thank you. [Operator Instructions] We will go first to Robert Kosowsky with Sidoti.
Robert Kosowsky: Good morning. How are you doing?
Ronald Robinson: Hi Rob.
Robert Kosowsky: I was wondering on - first on Europe. I was wondering if you - the 8% organic growth rate, how much of that do you think was pent-up demand for some of your products versus you creating some more your own opportunities? I think you mentioned some export orders as well in the release.
Ronald Robinson: There is certainly no way of breaking it out. I mean, I think certainly some pent-up demand did have an effect on the market because our sales have been down for the last several years in Europe, and we’ve not been replacing. And we think the fleet of our type of equipment in operations is aging a little bit. So I feel for sure that helped us, but there is really no way of breaking that out. U.K. was really up. The one that was up the most for us is France, still remained flat and more challenged. I think U.K. in general has outperforming the rest of the Euro-zone markets for us. And yes, like I said, I think they were helped by that. But it’s really hard to break it down between the two. I think pent-up demand - I think just even our kind of equipment tends to wear out. And so even in some other countries, there is getting to be some increased need for the type of equipment and when they can find the funds to do it, they are replacing it.
Robert Kosowsky: That’s helpful. Then another question on Europe, just on margin profile. It needs on lot of restructuring over the past few years. And I was wondering if you could comment about what margin level we’re at right now? I’m trying to understand disclose [indiscernible] wondering kind of where the margin trajectory is right now versus the next few years, because it used to be a very high margin business and then it kind of did a downturn over the past few years.
Ronald Robinson: That’s right. And certainly yes, the downturn as we’ve said before, Europe is a little harder to restructure, calls in a downturn. So I mean, our margins have certainly been off in Europe. And I think we’re in better shape in showing some positive direction in that, but we’re still below where we were and where we need to be. And I think we’ll continue to show a little progress in that this year, as volumes pick up some and as we get our cost in better shape there.
Robert Kosowsky: Okay. And then one last question. Federal state loan had about 10% increase in its backlog for the environmental segment. I understand you said there is a little bit weakness at the end of the year, but would you share at least qualitatively that kind of positive outlook going into 2015 on the governmental side?
Ronald Robinson: Well, of course our backlogs in the governmental sector in the industrials - our Industrial sector are up significantly, but that’s because compared to this time last year we had the big acquisition. So you would expect them to be up. But even internally, without the acquisition, they were up in that same range give or take [indiscernible]. But yes, like I said, our backlog is over up significantly just because of the acquisition on top of it, but still seems to be holding up very well.
Robert Kosowsky: All right. Great. Thank you very much and good luck.
Ronald Robinson: Thank you, Rob.
Operator: And we’ll go next to Brad Wong with Piper Jaffray.
Brad Wong: Hi guys. Thanks for taking my questions and congratulations on a nice quarter. I just wanted to dig into that last comment a little bit more around backlog in the Industrial target into the comments you made around 2015 starting a little soft due to some of the weather might lead limiting people from making purchases, but with all of this snow and you mentioned that, that does help your snow removal, but where are we seeing that backlog in the Industrial in terms of product categories that you have in that segment? And do you think that you’re going to see additional strength due to all of the issues that you’re seeing here?
Ronald Robinson: The backlog improvement has been fairly broad-based in all of our units within the Industrial unit. It’s been snow removal, it’s been mowers, it’s been in our Gradall excavators, our vacuum trucks, and even street sweepers. I mean, it’s been fairly broad improvements throughout the unit. In snow - like I said, a big snow year doesn’t necessarily help you right immediately because it’s more - it does help your spare parts business, which tends to go up during - in bad winter conditions, but they don’t tend to order - it’s almost too late to order new equipment to help them much this season. So they’ll way go after the season and try to see where they are and try to replace it before the next season starts. So like I said, the whole good snow aren’t help much at this time of the year, it’s too late, but the spare parts usually doesn’t go into backlog, I mean, that’s sort of in and out fairly quickly. So that has improved, but it’s been fairly broad-based improvements in backlog and so - the other thing on - like I said, one of the - I think the contributing factors to sort of a soft start is, yes, like I said it’s nice - so from our point of view nice, it is snowing because that we believe that will help our snow removal business in the short-term and in the longer term, but we do get affected because lot of our customers are set down some times. So we’ve even had plans that have missed operating days in the last - in the first quarter of this year already just because - again due to weather conditions. Even we’ve had to shut down some of our manufacturing plants for a day here or a day there. So that’s - I’d say it’s in the customers of ours are being shut down some due to the weather. So that’s where I think the negative effect from the weather comes in for us in the short-term.
Brad Wong: Okay. That’s really helpful. Thanks a lot. Looking at Ag, you talked to the impact maybe in the segment of weakening markets maybe pressure on that part industry, obviously you have a different exposure than some of these other OEMs. Just wondering if you’ve seen some of these smaller horsepower equipment markets softening a bit, how that impacts sched?
Ronald Robinson: It seems like the overall - the smaller end of the range, like the hobby farming equipment, has held up reasonably well. I mean, it’s certainly - I think the area under most challenged in the Ag sector has been the big ticket items for row crop farmers. So be your big horsepower tractors and your combines and lease pipe, they are more affected by corn and wheat and soybean prices. That’s their end, plus I think in those areas, you’ve seen a little bit of overhang in dealer inventory is that are going to have to get bought down before the dealers start replacing product from the manufacturers. So I think, like I said, the big ticket items, row crop farmers, that is where probably the most challenge is. Other sectors of the Ag are holding up. Like I said, cattle prices are in reasonable shape and ranchers are doing pretty good and hobby farmers, I mean, I think that sector is actually doing - it was a growth sector last year, which helped offset some of the decline in some of the other sectors, but still overall farm incomes were down last year, and I think they will be down again further this year. So there is going to be some effect on the overall market with farm incomes being down. But like I said, I think, it will be affected by that, but maybe not as much as people who have heavy exposure to some of the big row crop farmers.
Brad Wong: Okay, great. And this is the last one from me. Obviously you’re still integrating Specialized and some of the other acquisitions that have helped you in 2014, but just wondering if you can [indiscernible] you can provide any color as to the pipeline in that sector. It would be great.
Ronald Robinson: Yes. I mean, we still feel - we are looking for acquisitions. Well, yes, I mean, Specialized was very well-run company with good people and good systems and so the integration there is not as big of distraction as it would be - like I say, they want it to well-run. So I think - and financially, I mean, our balance sheet is still improving and yes, we believe we have dropped out to take on further acquisitions. So like I said, we’re not sort of standing by that all the sidelines on acquisitions. We’re actively looking for some. There is nothing imminent I can tell you. There is lot of work. We’re certainly continuing to look. And we are seeing a fairly steady stream of reasonable opportunities that we think would be nice fits and accretive to what we’re doing. And so we’re actively looking, but nothing imminent at this point.
Brad Wong: Okay. And just on what you’re seeing. Is there are any specific focus in terms of your segment vision that you have?
Ronald Robinson: No. Certainly the big acquisitions we’ve done lately seems to be in our Industrial divisions. That’s not necessarily by choice. We like all of our division to participate in acquisition growth. We did some little ones in Europe and little ones in our Ag division, but I mean, we’re looking across all three divisions. Like I said, just in the last few years we’ve seen more in the Industrial division, but we’ve got activity in all three, and our goal is to pursue all three divisions - acquisitions in all three of our divisions.
Brad Wong: Great. Thanks a lot again for taking my questions.
Ronald Robinson: Yes, thank you.
Operator: We’ll go next to Mike Shlisky with Global Hunter Securities.
Michael Shlisky: Good morning.
Ronald Robinson: Good morning.
Dan Malone: Good morning.
Michael Shlisky: I want to actually touch briefly here on the oil and gas falls in 2015. Do you have any impact affected a bit later on this year to process like your vacuum trucks and some pressure cleaning [ph] business, if we see escalation in production activity in the U.S. decline as we go through 2015?
Ronald Robinson: That’s good. It’s hard to identify what we sold there, but I feel that’s been miniscule. That’s not - I mean, well, I think there could be some effects from slowness in the oil industry. I think it could affect state budget incomes and state budgets and incomes of governmental entities with lower taxes and this kind of stuff, but I don’t think it’s more the indirect effects that it will have on us than the direct effects of like selling less to people who are clearing line. That’s not a big area for us. So I don’t expect any effect from that.
Michael Shlisky: Got it. Great. And secondly I wanted to ask, you look at the margins here in this quarter - operating margin this quarter versus last year’s fourth quarter seems approximately a very big jump here. Given that you’ve done all these deals over the last 12 months. Has the seasonality of your margins or earnings changed at all, given that somewhat new structure you’ve got here?
Ronald Robinson: Very nominally. I mean, certainly some of the products are a little bit less - vegetation maintenance and soybean, that helps, but still all of our equipment, even things like excavators and street sweepers and all the things that you wouldn’t think are not vegetation-oriented. They still - I mean, they tend to be more active in the summer, the spring and summer months than they are in the winter months. And that usually results in more spare parts being consumed in those summer months even for things that aren’t vegetation-oriented. So yes, the new products and acquisitions that we have done, made us a little less reliant on vegetation maintenance products but - and a little less reliant - I mean, a little less seasonal, but still we think that the second and third quarters will continue to be our major two quarters.
Michael Shlisky: Okay. And then in Ag, I wanted to touch on special 179. I got - retroactively you said at the very end of 2014 here. It didn’t obviously affect some of the larger Ag products corporate products out there to come out in tractors, given that you really can't give the lead time there. And I was wondering if it affected some of your smaller ticket items both to farmers and ranchers, as well as to fly their customers in Industrial. Was there any kind of last minute effect there in your December results?
Ronald Robinson: No. I think the fact that farm incomes were down would affect us more so than any kind of tax programs or anything, because generally the items we sell there are small enough ticket items that’s not one of - an overwhelming criteria for farmers that like it one $15,000 mower is not as big an issue as it is for $400,000 com-band [ph]. So yes, like I said, just the fact that farm incomes are down would have an effect, but the fact that the tax credits hasn’t hurt us, we haven't seen anywhere near the effect that it would have on big ticket items.
Michael Shlisky: Great. And I’ll just sneak in one last one here, on the operating expense side, kind of flat down here in the $33 million quarter range. I guess broadly speaking, is that an appropriate rates kind of going forward or that you possibly have some way you can cut out Specialized as finish up the integration there?
Ronald Robinson: Well, I think it’s not as much the dollar amount as it is the percent of - we think that probably we ought to be in the - last year, we run little over 15% operating expenses. This quarter, we were little bit under 15% and I think that sort of 15% to little bit less than 15% is the range we ought to be in.
Michael Shlisky: Thanks a lot for your answers. I appreciate it.
Ronald Robinson: Sure. Thank you.
Operator: [Operator Instructions] We’ll go next to Mike Feniger with Bank of America/Merrill Lynch.
Mike Feniger: Hi guys. Congratulations on the good quarter.
Ronald Robinson: Thank you.
Mike Feniger: Just a question guys. I mean, we are seeing a slight pickup in public construction spending. There is also some discussions going on about potential highway bill. I mean, it does seem like that always get pushed out, but people are getting little more optimistic. What are you seeing from state budgets? Are we seeing municipality budgets getting healthier and better in 2015 and willing to spend more in 2015 as they did in 2014?
Ronald Robinson: I think certainly governmental budgets in general have been improving for the last couple of years, and I think we have benefited by that. We don’t - we’re not directly tied to highway bill or construction spending, because we’re more in maintenance, which sort of the good news is we won't hurt us much when those were weak the last few years, but the bad news is we’re not opt as much when those get a lot better. But in general, yes, I think we do believe we benefit a little bit from governmental budget situation improving and we’re certainly seeing that improve, but we’ve enjoyed the last few years a fairly steady rate of bid activity for governmental sector business. And I think - we believe that will continue and be helped by governmental budgets being in a little bit better shape, but not really affected much by highway bills or new construction spending.
Mike Feniger: Great. And we talked about the indirect impacts from lower oil and gas. Are you hearing anything from your dealers, your customers in an area like Texas? Are you hearing anything about some concerns in regions like that?
Ronald Robinson: So far we haven't. Like I said, I know there has been some fairly big announced layoffs of workers in places like Texas right now, especially in the Eagle Ford Shale and some of those kind of operations. So we’ve seen that, but we haven't seen any sort of, residual effects on us at this point. Like I said, I think - but I’m concern what it does to things like state budgets. But I think again it’s for the indirect effects than the direct effects that I’m concerned about.
Mike Feniger: And then lastly, we know you guys have a snow removal business, but there is a harsh weather actually have maybe secondary impact on some of your other equipment as it damages storm drains and other infrastructure market. Do you see any other impacts and positive drivers for your other products outside of snow removal?
Ronald Robinson: Yes, we see some impact, but they are mixed. Some of them are positive, like you said, the more sand and brick, they put down the more, they have to use street sweepers to pick it back up when the snow melts. So the street sweepers are really used. But there is also some negative effects, because the - boy, when the cities are spending so much money removing snow, that it’s actually affecting some of their budgets for cutting grass and everything later on in the year. So it’s really bit of a mixed bag.
Mike Feniger: All right. Thanks guys.
Ronald Robinson: Sure. Thank you.
Operator: [Operator Instructions] We’ll go to Paul Theron [ph] with Maestro Financial [ph],
Unidentified Analyst: Hi good morning.
Ronald Robinson: Good morning.
Unidentified Analyst: I want to ask - maybe it’s for Dan. So past I think two years by my math your free cash comparison against net income has been in the 50% to 60% range. Do you have any view on how that would trend going forward?
Dan Malone: Well, I mean, a lot of our growth has been organic. So there has been some working capital growth that goes along with that. Our CapEx has been heavy the last couple of years, because we had a couple of facility expansions that we plan to see. We generally expect that our CapEx is going to trend probably a little bit lower than our depreciation and amortization. So I see continued improvement, but no major shift.
Ronald Robinson: The conversion rate will be a little bit better because - but I wouldn’t say it’d be - it’d be a similar in scale but maybe a little bit better.
Unidentified Analyst: Okay. And then I think we’ll get the EBITDA number with the 10-K, but can you share what that was for the full-year, and then where that puts your leverage ratio, and whether or not you have a specific leverage target?
Dan Malone: We have not disclosed that yet. If I can ask you just wait a day or so, so we can able - and we’ll put that all out in the 10-K.
Ronald Robinson: And as far as specific leverage targets, I mean, we don’t really have - this is the target and it’s sort of fluctuates with opportunities. I mean, I think as we’ve shown over for a long time we’re fairly conservative company as far as financial structure. So we’re never trying to see a much leverage we can get or trying to be over-levered and we believe in a conservative leverage ratio, but we don’t have a specific target. It varies with what the opportunities are and what’s going on in the marketplace.
Unidentified Analyst: All right. Thank you.
Ronald Robinson: Thank you.
Operator: And this does conclude our question-and-answer session. I will turn the conference back over to management for closing remarks.
Ronald Robinson: All right. Well, thank you very much. We appreciate you joining us today. Certainly as we said, we will be filing the 10-K here shortly, but we - so for any other questions, certainly don’t hesitate to contact us. And we thank you for joining us today, and we look forward to speaking with you in a couple of months on our first quarter conference call. Have a good day. Thank you.
Operator: That does conclude today’s conference. Thank you for your participation.